Operator: Good morning, ladies and gentlemen, and welcome to the C.H. Robinson First Quarter 2022 Conference Call. At this time, all participants are in a listen-only mode. Following the company’s prepared remarks, we will open the line for a live question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded Wednesday, April 27, 2022. I would now like to turn the conference over to Chuck Ives, Director of Investor Relations.
Chuck Ives: Thank you, Donna, and good morning everyone. On the call with me today is Bob Biesterfeld, our President and Chief Executive Officer; Arun Rajan, our Chief Product Officer; and Mike Zechmeister, our Chief Financial Officer. Bob and Mike will provide a summary of our 2022 first quarter results and Arun will provide an update on the innovation and development occurring across our platform, and then we will open the call up for questions. Our earnings presentation slides are supplemental to our earnings release and can be found in the Investors section of our website at investor.chrobinson.com. Our prepared comments are not intended to follow the slides. If we do refer to specific information on the slides, we will let you know which slide we’re referencing. I’d also like to remind you that our remarks today may contain forward-looking statements. Slide two in today’s presentation list factors that could cause our actual results to differ from management’s expectations. And with that, I’ll turn the call over to Bob.
Bob Biesterfeld: Thank you, Chuck, and good morning everyone and thank you for joining us today. During first quarter we delivered record quarterly profits. Sequential improvement was driven by significant operating margin expansion in our North American Surface Transportation or NAST business, as we improved the health of our contractual truckload business, continued to grow our truckload volume, and improve the profitability of our Less Than Truckload or LTL business. Our Global Forwarding team continued delivering excellent service to our customers and collaborating with our carriers driving more business to our platform. And finally, our Robinson Fresh, Managed Services, and Europe Surface Transportation businesses all improved their top line growth and operating income on a year-over-year basis.  Now let me turn to a high level overview of our NAST and Global Forwarding results. Our NAST adjusted operating margin in first quarter was 36%, up 350 basis points year-over-year and 480 basis points sequentially, due to improve profitability in both our truckload and LTL services. In our NAST truckload business, our volume grew 4% year-over-year, and our adjusted gross profit or AGP per shipment, increased 15% versus first quarter of last year and 6.5% sequentially, as we repriced more of our contractual portfolio and continued to focus on profitable market share. Truckload volume growth included year-over-year increases in both our contractual volume and our transactional volume. This included a 65% increase in volume that was driven through our proprietary dynamic pricing engine and 65% of our spot for transactional business was priced through this dynamic pricing engine in first quarter, delivering real time pricing with capacity assurance from the largest network of truckload capacity in North America.  During the first quarter, we had an approximate mix of 60% contractual volume and 40% transactional volume. This is compared to a 55:45 mix in the same period last year. Routing guide depth of tender in our Managed Services business, which is a proxy for the overall market, was flat on a quarter-over-quarter basis at approximately 1.7, as it was for all of 2021. But within the quarter, this metric declined in February and March and reached 1.5 by the end of the quarter, as more capacity entered the market, demand begin to soften in March, and first tender acceptance rates climbed across the industry. These changes in supply and demand drove a similar trend in drive and load-to-truck ratios, which increased from six to one at year end to a high of 12 to one in early January, due to winter storms and the rising cases of COVID. They then declined throughout the quarter to approximately four to one by the end of March.  This environment led to a decline in the truckload line haul cost and price per mile in both February and March, off of another record high in January. For the quarter, our average truckload line haul costs paid to carriers excluding fuel surcharges increased approximately 21% compared to first quarter of last year. Our average line haul rate billed to our customers excluding fuel surcharges increased approximately 20.5% year-over-year. This resulted in a year-over-year increase in our NAST truckload adjusted gross profit per mile of 17%. The combination of our repricing efforts and the sequential decline in the cost of purchase transportation in February and March led to a sequential improvement in our AGP per mile in each month of the first quarter.  In our NAST LTL business record quarterly AGP of $150.7 million grew by 31 million, or 25.5% year-over-year through a 27% increase in AGP per order that was partially offset by a 1% decline in volume. The Q1 decrease in LTL volume was mainly driven by normalization of business levels, as our LTL volumes in the first quarter of 2021 continued to be bolstered by a few large customers that benefited from the stay at home trend during COVID. This contributed 15% LTL volume growth in the comparable quarter last year. Our value proposition and comprehensive set of LTL services continues to resonate with shippers of all sizes and across industry verticals.  In our Global Forwarding business, the team continues to provide creative solutions and excellent service in an environment in which demand still exceeds capacity. This resulted in year-over-year AGP growth in first quarter of $108 million, or 50%, and operating income growth of $77 million, or 85%. Q1 marks the eighth consecutive quarter of year-over-year growth in total revenues, AGP and operating income. Within this results, our ocean forwarding business generated Q1 AGP growth of $86 million or 64% year-over-year. This was driven by 52.5% growth in AGP per shipment and 7% growth in shipments, which topped a 27% volume growth in Q1 last year. Global ocean demand continues to exceed the industry’s overall capacity with limited vessel and container availability. Port congestion on the West Coast improved during first quarter, but it’s been on the rise since the end of March. Due to customer’s desires to mitigate risks, ocean carriers have also shifted vessel capacity from the West Coast to the East Coast ports, partly due to continuing congestion issues and concerns surrounding potential labor disputes on the West Coast.  COVID lockdowns in China have also led to a slowdown on export volumes from Asia to the US. And as of April 19, there were 506 vessels awaiting berthing space at Chinese ports, up 95% from the 260 waiting offshore in February. When exporting to the US returns to normal levels, congestion is likely to increase. With limited new vessel deliveries in 2022, we expect capacity to be strained for much of the year. And although ocean rates may taper a little, we expect them to remain elevated. Specific to Robinson, we have not seen a decrease in ocean cargo demand. Our win rates and our bookings are still strong, while beneficial cargo owners or BCOs continue to move more volume to us, and we already have a healthy pipeline of business left to implement.  Due to the growing strength of our global multimodal platform and the team’s collaborative relationships with our carriers, we’ve been able to increase our capacity to better serve our customers. The Global Forwarding team has also leveraged our technology investments and data advantage to improve pricing velocity, efficiency and precision, which has enabled us to participate in more quotes and to turn them around faster. In first quarter, we also launched universal vessel tracking and prediction to automate container tracking and arrival prediction, which in turn feeds into our predictive algorithms for inland transportation.  Finally, our international air freight business delivered AGP growth of $15 million or 34% year-over-year, driven by 21.5% increase in an AGP per metric ton and a 10% increase in metric tons shifts. This is on top of a 46% increase in metric tons shipped in the first quarter of last year. Air freight capacity remains tight due to limited belly capacity, but we do expect this to slowly improve in the summer. We’re also starting to see some conversion of air freight back to ocean, but we expect some pent up demand when China fully reopens.  Overall, the forwarding team has a great foundation to continue providing excellent service to our customers and to work with them to leverage our flexible solutions for their shipping needs. Our customers and our results are benefiting from the investments we’ve made in digitization, data and analytics, as well as our global network which supports our expansion initiatives in targeted geographies and industry verticals. For the enterprise, we continue to believe that through combining our digital products with our global network of logistics experts, our full suite of multimodal services, and our information advantage from our scale and data, we’re uniquely positioned in the marketplace to deliver for our shippers and partners, regardless of the market conditions. We believe our strategies and competitive advantages will enable us to create more value for customers and in turn, win more business, increase our market share, and deliver higher profitability and return on invested capital.  With that, I’ll turn the call over to Arun to walk you through the product innovation and development that’s occurring across our platform.
Arun Rajan: Thanks, Bob, and good afternoon, everyone. As I said last quarter, the role of our products is to relentlessly address customer and carrier needs and our strategy is to go deep with data and research to inform technology investments that deliver value to both our customers and our carriers at scale. We are more intentionally connecting our business, data science, digital marketing, and technology teams to bring meaningful products, features and insights to both sides of the two sided marketplace that we serve, and to our employees who are critical to our success. We are also taking a lean approach to delivering products and digital features, rapidly testing and evolving our digital features and functionality to deliver the outcomes we seek.  In early February, we launched enhancements to our Navisphere Carrier product, including the ability for carriers to digitally place offers and loads and provide personalized load recommendations based on the unique behaviors of carriers on our platform. The initial results from these enhancements are promising. Visits per day to Navisphere Carrier are up 45% from January to March. We also saw a significant increase in the number of carriers booking loads via Navisphere Carrier with a 51% increase from January to March. These input metrics combined with a few others resulted in a 100% increase in loads booked digitally by carriers from January to March, and a 346% increase from March of 2021 to March of 2022. Ultimately, providing a strong self service solution for our carriers will give us access to additional carriers and create greater loyalty, which is critical to our ability to continue growing volume. Access to more capacity gives us the opportunity to cover more freight on behalf of our customers by meeting carriers where and how they want to engage with us.  Working backwards from our carriers and customers leads, we will continue to apply the appropriate rigor to direct our tasks and investments towards products that drive up the acquisition, retention, and growth of carrier and customer share. Positive impact on these metrics is and will be the clearest signal that we are making the right investment decisions in the context of carrier and customer facing products. The digital investments we’re making, and the rigorous test and learn approach we are taking to inform these investments are essential to our continued and future success. The products we develop will aim to strengthen relationships with customers and carriers by delivering value on their terms. When we combine innovation and value with high performance and excellent service, we create sticky relationships with customers and carriers because they trust us. The success of every new product, feature, or insight that we deliver will be evaluated on its efficacy to increase the rate at which we acquire, retain and grow share of customers and carriers, which in turn serve as the primary inputs to power our future growth.  I will now turn the call to Mike to review the specifics of our first quarter financial performance.
Mike Zechmeister: Thanks, Arun, and good afternoon, everyone. In the first quarter we continue to build on our results in 2021 with another quarter of record financial results from the top line to the bottom line, as we’ve continued to execute on our strategy in a favorable freight market. Our Q1 total company adjusted gross profit or AGP was up 29%, reaching a record high at $906 million. On a per day basis, Q1 total company AGP improved by 27% year-over-year and 4% sequentially. On a monthly basis compared to 2021, our total company AGP per business day was up 22% in January, up 33% In February, and up 27% in March. For the seventh consecutive quarter, prices and costs rose across the North American truckload business, and for the sixth consecutive quarter, they reached all time quarterly highs.  As Bob mentioned, the line haul cost per mile and price per mile, which exclude fuel surcharges increased in January and then dropped in February and March. However, if you include fuel surcharges, cost and price per mile continued to rise through the quarter, ending with another all time high month in March. Our NAST team navigated through this environment in Q1 by managing our truck acceptance rates to optimize contractual truckload returns and honor our commitments to customers. As we have done each of the past seven inflationary quarters, we re-priced the portion of the contract portfolio to reflect the higher cost of purchase transportation. As we re-priced, our truckload AGP per mile continued to improve. Q1 marked the sixth consecutive quarter of flat to increasing AGP per mile. Truckload AGP per shipment improved sequentially each month of the quarter, with the full quarter up by 15% compared to Q1 of 2021.  AGP per mile and AGP per shipment are key metrics for managing our NAST business. They reflect our business performance better than AGP margin percentage, which naturally rises or falls with the changing market cycle and fuel pricing. A rising fuel surcharge reduces the truckload AGP margin percentage, even though we pass through the cost, leaving no impact on our AGP dollars per shipment. For example, the 75% year-over-year increase in fuel surcharge per mile resulted in approximately 50 basis point reduction to our truckload AGP margin percentage compared to Q1 last year without negatively impacting AGP dollars per shipment.  On slide seven of our earnings presentation, we’ve provided a chart that shows the historic trend of our truckload AGP per shipment and our NAST AGP margin percent. Here you can see that our Q1 NAST AGP margin percent has declined approximately 90 basis points compared to Q1 two years ago, while our truckload AGP dollars per shipment grew by 42% over the same time period. With our customer focused strong team and digital investments, we expect to continue to drive long-term growth and efficiency into our model.  Now turning to expenses, Q1 personnel expenses were $413.4 million, up 14.6% compared to Q1 last year, primarily due to increased headcount as we continue to support opportunities across our business. On a sequential basis, Q1 personnel expenses were down 1.6% versus Q4, with average headcount up 4.3%. For the full year, we continue to expect our personnel expenses to be approximately $1.6 billion to $1.7 billion, including some headcount additions that we expect to be weighted more towards the front half of 2022. If growth opportunities play out differently than we expect, we will adjust accordingly.  Moving on to SG&A, Q1 expenses of approximately $147.4 million were up 24.7% compared to Q1 of 2021, primarily due to higher purchase services, a non-recurring legal expense, and increased travel expenses. For 2022, we continue to expect total SG&A expenses to be $550 million to $600 million, primarily due to a higher level of spending on technology initiatives and travel. 2022 travel spending is expected to return to approximately half of our pre-pandemic levels. 2022 SG&A expenses are also expected to include approximately $100 million of depreciation and amortization.  First quarter interest and other income expense net totaled $14.2 million, up approximately 2.9 million versus Q1 last year, primarily due to higher average debt balance. Our Q1 tax rate came in at 18.4% compared to 18.3% in Q1 last year. Recall that our first quarter typically has a lower effective tax rate due to the tax benefits related to the delivery of our annual stock-based compensation in the quarter. We continue to expect our 2022 full year effective tax rate to be 19% to 21%, assuming no meaningful changes to federal state or international tax policy. Q1 net income was $270.3 million, up 56% compared to Q1 last year, and we delivered record quarterly diluted earnings per share of $2.05, up 60% year-over-year.  Turning to cash flow. Q1 cash flow used by operations was approximately $14 million compared to $57 million used in Q1 of 2021. The $43 million year-over-year improvement was primarily due to a 97 million increase in net income and partially offset by the change in working capital, which increased $288.5 million in Q1, compared to an increase of $251.8 million in Q1 of 2021. The Q1 increase this year resulted from a $479 million sequential increase in accounts receivable and contract assets less $190 million increase in total accounts payable. When the costs of purchase transportation and subsequently prices, including fuel surcharge come down, we would expect a commensurate benefit to working capital and operating cash flow.  Accounts receivable and contract assets were up 10.8% sequentially, while total revenue was up 4.8%. The resulting 2.1 day increase in days sales outstanding or DSO was driven primarily by sequential increases in total revenue that were more concentrated in the last two months of Q1 compared to Q4. From a quality of receivable standpoint, our percent past due is in line with our two year average and our credit losses as a percent of revenue are at four year lows. Over the long term, we continue to expect AGP growth to outpace working capital growth.  Capital expenditures were $26.2 million in Q1 compared to 13.5 million in Q1 last year. We continue to expect our 2022 capital expenditures to be $90 million to $100 million, primarily driven by technology investments. We returned approximately $251 million of cash to shareholders in Q1 through a combination of $178 million of share repurchases and $73 million in dividends. That level of cash to shareholders equates to approximately 93% of our Q1 net income, and was up 13% versus Q1 last year. During Q1 this year, we repurchased approximately 1.7 million shares at an average price of $101.93 per share. Over the long term, we remain committed to our quarterly cash dividend and opportunistic share repurchase program as important levers to enhance shareholder return.  Now onto the balance sheet highlights. At the end of Q1, our cash balance was $243 million, up $25 million compared to Q1 of 2021. We will continue to look for ways to efficiently repatriate excess cash from foreign entities. We ended Q1 with $671 million of liquidity comprised of 428 million of committed funding under our credit facility, which matures in October of 2023 and our Q1 cash balance. Our debt balance at quarter end was $2.17 billion, up $822 million versus Q1 last year, primarily driven by increased working capital and share repurchases. Our net debt to EBITDA leverage at the end of Q1 rose to 1.49 times compared to 1.42 times at the end of Q4. From a capital allocation standpoint, we remain committed to discipline capital stewardship and maintaining an investment grade credit rating and generating sustainable long-term growth in our total shareholder returns.  Thank you for listening and now I’ll turn the call back over to Bob for his final comments.
Bob Biesterfeld: Thanks Mike. So as questions linger about the impact on global economic growth from the Russian invasion of Ukraine, higher energy prices, and inflationary pressures, among other impacts, we believe that our global suite of multimodal services, our growing digital platform, and our resilient and flexible non-asset based business model will continue to deliver strong financial results through the cycle. We will continue to benefit from our product and technology investments while delivering on opportunities to integrate our services to help our customers solve their complex global supply chain issues. We are uniquely positioned to orchestrate end-to-end supply chain success for our customers, and to help them not only navigate uncertain market conditions, but to succeed in doing so.  Our Robinson team and their responsiveness and ability to provide true value continues to be a key differentiator and our ability to win in the market. One of the core values that we live by is we evolve constantly. To advance our industry leadership in a more digital environment, we’re evolving to a product led organization by reorienting the intersection of our growth strategy and our engineering and technology teams with the needs of our customers and carriers. And we’ll continue to differentiate ourselves in the market by having great people that our customers can rely on. I’m excited by the initial results that Arun described related to the enhancements that were rolled out in February for our Navisphere Carrier product. We’ll continue to build on our customer-centric commitment by continuing to invest in smart customer and carrier focused products and we’ll launch several new products that we believe will benefit our customers and carriers, as we continue to build out the most powerful supply chain platform.  This concludes our prepared comments and with that, I’ll turn it back to Donna for the Q&A portion of the call.
Operator: [Operator Instructions] The first question today is coming from Todd Fowler of KeyBanc Capital Markets. Please go ahead.
Todd Fowler: Hey, great, good afternoon, and congratulations on the results. Bob, I wanted to start with contract pricing and really to get a sense of where you’re at with repricing the book, what percent was effective here in the first quarter? And then with the contracts that you’re signing, is there any change in kind of the nature of the contracts, the duration or anything that would cause them to reset if we see the market continue to evolve going forward?
Bob Biesterfeld: Yep. Thanks for that question, Todd. As you know, the first quarter is typically a really busy one for contract bids and renewals and this quarter certainly was not an exception to that. And really, we kind of saw what we expected to see in terms of the overall number of bids to maybe address the meat of your question around kind of timing, the cross section of our largest customer bids, we continue to see 12-month awards as being the majority practice. In fact, a 57% of the bids of our top customers were tied to 12 months awards. Six months terms were negotiated about 25% of the bids, with the balance being terms of around three months. So that’s a bit of what we saw in terms of the terms of those bids, over the course of the quarter. I think the thing with truckload pricing either on the way up or on the way down is, there’s always some constant repricing in order to ensure that you’re staying, right with the market and balancing the opportunity for volume growth in AGP. So for us we’ll continue watching the market and tuning our pricing to capitalize on whatever, wherever this environment kind of shakes out in order to best serve our customers and to drive growth.  I think one of the real advantages for us is given the investments that we’ve made and to some of the digital and algorithmic based pricing tools is that we can react a lot faster to changes in the market, and we can adjust at scale really better than we’ve been able to do at any point in the past. And I think if you follow our customer advisory that we put forward, you likely saw that we did lower kind of our forecast during the quarter from a kind of high-single digit expectation increase in costs to an expectation of more flat on a year-over-year, which would, if you read through that, say, that we would expect those costs to come down a bit in the back half of the year.  So obviously a ton of variables that still need to be understood, but that’s how we’re seeing the market right now. I would add to that, within the contract awards, Todd, in the first quarter, we saw pretty significant increases in our win rates compared to first quarter of last year. So we do feel really good about how we’ve adjusted to kind of what the market is bearing right now.
Todd Fowler: Got it. And then Bob if you could just comment on percent effective in 1Q versus to still be implemented for the rest of the year.
Bob Biesterfeld: Say that, again, in terms of the percentage of the –
Todd Fowler: The contracts that are implemented. So you’ve got the new rates in your contract book in 1Q versus still coming in for the rest of the year. 
Bob Biesterfeld: I don’t have that data point in front of me, Todd. We can take that as a follow up but I don’t have that in front of me in terms of the percentage of the book that was rebid this quarter. 
Todd Fowler: Okay, that’s fine. I’ll pass it along. Thanks for the time.
Bob Biesterfeld: Okay. Thanks.
Operator: Thank you. The next question is coming from Jordan Alliger of Goldman Sachs. Please go ahead.
Jordan Alliger: Yeah. Hi. Just a question, you did a good job this quarter, the NAST operating margin, I think, shot up to around 36% or so. I’m just wondering, given the dynamics and the favorable pricing and maybe the drop in purchase transport, I mean, what’s your thoughts on the march towards the longer term goal of 40%? I mean, just something that’s attainable this year or I’ll leave it there.
Bob Biesterfeld: Yeah, thanks. Thanks, Jordan. I’ve said for the past several quarters that our goal is to get NAST back to that 40% range and a couple of factors in play, obviously this quarter. The first being the re-pricing of the book, right, and so, taking down some of the loss making loads being more intentional about the freight that we are targeting and accepting, and obviously the market. The market itself gave us some benefits there outside of our own intentional repricing. And so I think I said last quarter that one of the keys there was really improving the health of our contractual truckload portfolio. I mean, we’ve certainly done that this quarter and we would look for that to continue to get, I guess, “healthier” through the balance of this year.  The second is around expense control and ensuring that we’re managing our underlying expenses and investing in the things that are delivering the greatest return. And so I don’t know that -- I don’t -- I won’t prognosticate whether we get there throughout first, second quarter, third quarter, fourth quarter. Within the months, we got pretty close there, within the quarter and so I think we’re on a really good trajectory.
Jordan Alliger: Thank you. 
Jordan Alliger: Thank you. The next question is coming from Scott Group of Wolfe Research. Please go ahead.
Scott Group: Hey, Bob, just to clarify, your point on that last comment was, March got pretty close to that 40% net operating margins. So you’d expect -- implying you think that net operating margins in 2Q would be better than 1Q, is that fair?
Bob Biesterfeld: What I would confirm and what you just said there Scott is throughout the course of first quarter what we saw was a moderation in terms of the cost of purchase transportation. We saw a moderation in the overall marketplace dynamics in kind of the load to truck ratio. And our model responded the way that we would expect our model to respond. A better part of our while we grew truckload volume in both contractual and transactional, as we would expect, our book starts to shift a little bit more towards the contractual in a loosening market. And as I said, I mean, the model is holding up the way we would expect it to in a market that starts to soften a bit.
Scott Group: Okay. And then you guys in the quarter announced this new capital allocation committee, how should we think about what may or may not be coming? Is the focus more on more buybacks? Is it on more acquisitions? Is it on assets? What are the things that you think you haven’t done before that may change going forward?
Bob Biesterfeld: Sure. And so maybe I’ll just take a second Scott to level set just to make sure everybody that’s participating in the call has the same information. On February 28, we announced via an 8-K and a press release that we’d reached a cooperation agreement with one of our large shareholders Ancora and through that process, we’ll be adding two new directors to our boards, Jay Winship and Henry Maier. In addition to that, we formed a Capital Allocation and Planning Committee as part of the Board of Directors, which is made up of my Chairman of the Board, myself, and Jay and Henry and that the purpose of that committee is to really objectively assess value creation opportunities for the company, make recommendations to the full board, and to really support management’s review of the company’s capital allocation operations and strategy, including enhanced transparency and disclosures to shareholders.  Now, we came to that agreement at the end of February. We’re a couple of months into that engagement, less than 60 days into the engagement. We’ve been working hard over the past couple of months to onboard two new directors who have been incredibly engaged, establishing the priorities of the committee and I’m really encouraged by the engagement and the skill sets of the new directors and the fresh perspective that they’re bringing. I think they’re both going to bring great experiences to our Board. And we’ll continue to work together to maximize shareholder value. Being at its early stages I don’t have a lot to share in terms of outputs of that committee or a specific focus areas, but I would say, kind of that general framework as we’ve communicated publicly at the end of February, is the scope. 
Scott Group: Okay, thank you. I’ll get back in queue.
Operator: Thank you. The next question is coming from Jack Atkins of Stephens. Please go ahead.
Jack Atkins : Okay. Great. Good afternoon and thank you for taking my questions. So I guess just to -- if I can squeeze in a couple [Phonetic] in here. First, I guess a follow up on Scott’s question, Bobby at any sense for when we could maybe know more about some outcomes from the decisions of the special committee and what the broader Board wants to do there? And would you expect any outcomes to be incremental pr could there be some more fundamental shifts in business strategy? That’s first question. And second question is, when you think about the shutdowns and lockdowns in China and the potential knock on effects of the US freight markets, once we see a reopening there, do you think that could cause further disruptions in the second half of this year as that freight begins to land in the US, just any sort of thoughts on that would be helpful? Thank you.
Bob Biesterfeld: Yep. I’ll give you a brief answer on the first part, Jack, and I’ll try to build upon the specific question around China. I mean, relative to anything that we do strategically within the organization, as we always have, and as we always will, we’ll evaluate strategic alternatives for the company that are best focused on maximizing shareholder value for the long term. And so new committee, no committee that’s been the lens that we’ve taken. And so as things come, if things come, obviously public disclosure, if we make decisions, we’ll follow that. But we likely won’t be dropping breadcrumbs, so to speak ahead of kind of what we’re looking at, or what we’re working on, for obvious reasons.  So, let me shift and pivot to China, Jack. Here’s how we’re thinking. I mean, this is, to me, one of the biggest unknowns, in a long list of unknowns and what’s going to happen in our market, whether it’s Ukraine, whether it’s energy prices, whether it’s inflation, but clearly China and the lockdown there is something that we’re watching really keenly. With them experiencing really the worst COVID outbreak they’ve had since the beginning of the pandemic, to put it in context, there’s more people under lockdown in China right now than the entire population of the United States. And so we know that their freight has been disrupted inland from lack of trucking, freight is piling up, and when trucks are finally permitted to start moving goods, and we get back to some normal fluidity in China, we expect that that’s going to create a surge of freight, but likely will at some point down the road negatively impact some of the progress that we’ve made here in terms of the backlogs at the US ports.  I don’t know that any of us know, Jack, what the real impact will be. We’ve got almost 40% of the country’s GDP existing in provinces that are locked down along with two of the world’s largest ports. I think I have the belief right now that we’re in more of an air pocket caused by this related to the imports from China, but eventually that demand comes back online and the timing of that, and the impact is yet to be fully understood. But given the integrated logistics system needed to move goods over the water, the air, the road and the rail, there’s likely to be some impacts later on in the year, I guess, maybe sooner, to maybe depressing demand and later in terms of disrupting demand. That’s kind of the best lens that we’re taking against that, Jack. 
Jack Atkins: Okay. Thank you for the color.
Operator: Thank you. The next question is coming from Bruce Chan of Stifel. Please go ahead.
Bruce Chan: Hey, thanks and good afternoon, everyone. Bob, just want to follow up there on Jack’s question. As you think about the China COVID disruption in the West Coast potential port issue, and you go through the customer repricing process, have those issues been factoring at all into any of those pricing discussions on the NAST side? And I guess, given that uncertainty, are you doing anything to position, potentially more on the spot?
Bob Biesterfeld: I mean, I think that specific to China, here’s what I would say, I forget who asked the question earlier about kind of the makeup of the contracts, but it’s 57% of our large customer contracts that were signing for 12 months forget the percent, 25% at six months and the balance at three. I think just that makeup of the contract portfolio is so different than anything, pre-pandemic. We are -- we and I think many industry players are trying to figure out what these impacts are and manage and mitigate risk appropriately because of it. Certainly in 2019, that number would have been, all of the contracts were 12 months in length. So I don’t know that we’ve got great information in terms of what that impact will be.
Bruce Chan: And I guess just subjectively, has that issue been coming up at all in your customer pricing discussions?
Bob Biesterfeld: It has in some cases, subjectively, yeah, anecdotally.
Bruce Chan: Okay. Great. Well, that’s helpful. I’ll hop back into queue. Appreciate it. 
Bob Biesterfeld: Okay. Thanks.
Operator: Thank you. The next question is coming from Chris Wetherbee of Citi. Please go ahead. 
Chris Wetherbee: Hey, thanks. Good afternoon, guys. 
Bob Biesterfeld: Hi, Chris.
Chris Wetherbee: Quick questions here. Just first loss making loads, can you remind -- can you give us a sense of sort of where you are in the first quarter and, and what you’re competing against from a full year basis what you did in 2021? And then I guess, when we think about the truckload volume environment, obviously in a decelerating freight environment, I guess the idea would certainly be to maybe lead in a little bit more from a volume perspective. Can you give us a sense of maybe how you see the opportunity set playing out as the year progresses?
Bob Biesterfeld: Yeah. So, we made a pretty meaningful swing, I guess, would be my unofficial term in terms of the reduction in negative files from Q4 to Q1. We’re not back to kind of the normal run rate, so I guess that’s the good news that there’s still room to run. And if you look at the new slide that we inserted into the deck, on Slide Seven in the deck, you can kind of see what the what the recovery in the AGP per truckload has been. And so that’s really where I’d like us to put the focus is we will -- we’re going to continue to work on optimizing that, that AGP per truckload and AGP, kind of, over the lifetime value of our customers. And as we get to your point, we may need to get a bit more aggressive to grow share in some corridors and some lanes with some customer types, which may or may not lead to increased release to risk of negative or loss making loads. But we want to really look at this maximizing the overall yield and that balance of volume and AGP.
Chris Wetherbee: Okay. But there still is, like you said, an opportunity from a loss making load perspective in terms of catching up relative to where you’ve been? 
Bob Biesterfeld: Yes. Yep. 
Chris Wetherbee: Okay. 
Bob Biesterfeld: Yeah, we’re a couple of hundred, 300 -- I think 300 basis points roughly off of the average, some in that area 300 to 400.
Chris Wetherbee: Okay, thanks very much. Appreciate it. 
Bob Biesterfeld: Yep
Operator: Thank you. The next question is coming from Ken Hoexter of Bank of America. Please go ahead. 
Ken Hoexter: Hey, great. Good afternoon and really solid job on the quarter. Sorry, if I repeat, I know, you’ve got a couple of calls going on after market and I read the transcript as quick as I could. But just the shift of contracts, you noted the routing guy [Phonetic] depth in your opening comments, how do you see if that’s a seasonal pocket in terms of what you’re seeing in March. You noted kind of we’re seeing a little bit of lighter demand, or I think even commented, an extra supply hitting the market. How do you kind of see that and make that switch in your business to contract? What are the signals that you look forward to kind of switch from that guided debt -- when that guided debt starts loosening to lock in those contracts?
Bob Biesterfeld: Ken, in our pricing strategy now, so I’ll maybe zoom out a little bit realizing that our business and our mix between contract and spot typically moves as much with kind of first tender acceptance, right, and kind of the movement in the overall market as much as it does our kind of intentionality. But we do obviously take different pricing strategies, given where we see the market either rising or falling. But as you know, first tender acceptance increases across the industry, so as does ours, right. And so that inherently in itself is going to move more of our business into that committed space.  What we’re seeing in the market right now can -- we saw this load to truck ratio, kind of using some calculations against the DAT data, finished out the end of last year at six to one. We opened up right out of the gates in the beginning of first quarter, and having that skyrocket up to 12 to one, really as we had a really a broad outbreak of COVID that has started to trend down and into April, we’ve seen it actually hit that three to one range, which is kind of that balanced market, if you will. But what I would say is even today and looking at some current data, we’re starting to see, I don’t know if I want to call it a floor yet, but we’re seeing resistance in terms of how far that’s coming down in certain geographies, and even starting to see some upward pressure in terms of costs in some geographies. And so I don’t get a sense that we’re in this freefall necessarily, but I think we’re going to meet resistance as we see incremental demand with produce season and beverage season and the subs coming on over the course of the next few weeks.
Ken Hoexter: And just to clarify, did you mentioned that your view of purchase transportation went from high-single digits to now flattish, or is that what you’re seeing also [Multiple Speakers]? 
Bob Biesterfeld: Yeah but for the year, yep. 
Ken Hoexter: Okay. Okay. Great. Appreciate the time and thoughts. Thanks, Bob. 
Bob Biesterfeld: Yeah, you bet.
Operator: Thank you. The next question is coming from Tom Wadewitz of UBS. Please go ahead.
Tom Wadewitz: Yeah, good afternoon. I wanted to -- I think you’ve had a decent amount of commentary on this but how do you think that 2Q will like should we think of this as kind of a -- you’re in the sweet spot for a little bit in 1Q and in terms of NAST and truckload kind of thinking my conventional hat of gross margin percent but if you want to say gross profit per load, however you think about it. Is there you had a touch of it, like March in 1Q, and then you kind of have an extended sweet spot, or each cycle is different, but how do you think about that? And I guess it sounds like you’re constructive on loads and loads are still pretty good. I think that’s where people are trying to get their arms around spot markets a lot looser, but companies don’t seem to think there’s weakness in loads. So anyways, if I get some comments around that would be helpful. Thank you.
Bob Biesterfeld: Yep. So I would say April marketplace kind of looks like March, right and the model is kind of reacting the way that we would expect it to. In terms of demand, we’re -- the market assessment is worth, I don’t know, 2% or 3% of the overall market. And so there’s market share for us to gain, regardless of market conditions in my mindset, but some of the signals that we saw in the first quarter is we did start to see some softening of demand signals in some of our digital pricing tools where we’re standing up those API’s. We started to see some softening demand and the spot market calls for rates. But the flip side of that is we saw significant increases in win rates on the contract side, on a year-over-year basis. And so again, I think it’s -- I think we’ll see the portfolio continue to shift but I’m certainly not worried about, again, at least based on everything that we can see here, about demand shutting down.
Tom Wadewitz: So you think it’s easing or it’s just shifting from spot to contract?
Bob Biesterfeld: Well, you can look at the cast freight index as a data point, and we’re still in positive, slightly positive territory there. I mean, it does -- demand is moderating or supply is increasing, the market is clearly becoming more balanced, at least in the near term. And typically, when that happens, we see our portfolio shift more towards contractual fright, as the spot market opportunities tend to become less and less. 
Tom Wadewitz: Sure, okay. Yeah, it makes sense. Thank you, Bob. Appreciate it.
Bob Biesterfeld: Thanks, Tom. 
Operator: Thank you. The next question is coming from Brian Ossenbeck of J.P. Morgan. Please go ahead. 
Brian Ossenbeck: Hey, good evening, thanks for taking the question. Maybe if you can just talk about hiring and the trends we’re seeing there, retention of the productivity looks like, is it really trying to sort of pick up from some of the additional cuts, excuse me, that you made in pandemic and try to catch up with the market. How’s that working out relative to plan? And then when we look at some of the automated tools, I think you’re calling out about 40,000 or so of automated truckload bookings in the first quarter. How’s that run rate from last year? And if you can put that some perspective around that in terms of percentage and where you think it should go that’d be helpful. 
Bob Biesterfeld: Yep. So those two areas are really I think used on lots of growth. And I’ll tackle them separately, because they’re two separate distinct things. So let’s talk about the headcount growth and the adds first. I want to continue to reinforce that our goal is to overtime continue to grow volume at a rate ahead of headcount growth, nothing has changed there. But with that being said, we’ve ramped up hiring as we’ve seen, in the past couple of quarters both to stimulate growth and to respond to the opportunities that are in the pipeline. So I’ll talk about NAST and Forwarding a little bit separately, because the stories are slightly different. If I look at NAST and zoom out a bit, we’ve been intentional about driving productivity within NAST and part of that has been limiting some of the headcount growth. And if I look at the average headcount, over time, in 2016, we added about 3% headcount growth; in 2017, we added about two; in 2018, we only increased headcount by about 0.5%; and we’ve decreased headcount every year since then. And so, from our -- you mentioned, kind of cutting too deep in 2020 from our peak headcount, and in the middle of 2019, to the trough, in 2021, we decreased our overall headcount by about 13%. But at that same time, from peak to trough, we improved our productivity in terms of shipments per person per day by about 33%. But we’d likely constrained some growth opportunities in doing that, particularly in truckload. And so as we look at our average headcount in first quarter of 2022, with these increases, it gets us back close to our average headcount in 2017, candidly, with a more high volume business and higher productivity.  The increase in NAST headcount year-over-year is really a mix of commercially oriented roles to drive demand, carrier facing roles to ensure continuity of supply, and then operational roles to ensure higher quality of service. And I think those three lenses coming together, along with the technology investments that we’ve made that I’ll touch on next, I think, are really critical to drive growth of future. Within Forwarding, the additions really been made on a global basis to keep pace with the increase in the business but the number of opportunities that we still have that we’re landing, the expansion of our capacity this year into 2022, and those adds are being made more on a global basis. They tend to lean a little heavier into the US, but are really spread across the globe.  On the tech side in terms of the unlocks and some of what Arun talked out on the call, just to reinforce, when we talked on the last earnings call, we said, hey, we expected this order to be kind of pivotal in terms of demonstrating some results on the digital side. And with what we rolled out in February, what we saw a 45% increase in daily visits to our Navisphere Carrier products, a 51% increase in the carriers, the distinct carriers that were booking loads digitally and a 100% increase in digital books sequentially from January to March. On a year-over-year basis, it was close to 350% increase in terms of digital books. Again, your market size add a little bit and say 440,000 shipments, 830 million in gross revenue in the quarter, I think it is a good signal on some of the progress that we made. What is really encouraging now to me in those numbers is that 40% of those digital books occurred in March and obviously heavier weight into the back of the quarter and sets up for a very favorable run rate.  You think about analyzing those numbers and kind of comparing them to some of the other digital platforms in the industry, it’s pretty easy to get to a place where you look at it and say Robinson clearly has the largest digital freight marketplace, across the industry, but Arun mentioned some key input metrics around acquisition and retention and share growth and those are the things we’ll continue to track and communicate in order to drive the output metrics of volume growth and profit improvement. So lots of dry powder in that long answer, sorry, Brian, in terms of additional heads, as well as the expansion of the tech to drive acquisition, retention, and share growth. The thing that I would comment on current productivity is in general, new employees don’t operate at the same level of productivity as people in our industry that have been here for a while, right. They’re building their book of business, they’re learning the rolls and so you might say that we’ve got 1000 people doing the job of 300 or 400 just based on their ramp in productivity over the course of the first 6 to 12 months and so we’ll continue to see that increase as those employees kind of aged into their rolls.
Brian Ossenbeck: Thanks, Bob, for those details. And just one quick follow up. I know you mentioned a few minutes ago about March looking like April, can you put some -- can you quantify that a little bit, maybe talk about directionally, AGP per load, or loads in general, just to put a little more finer points that would be appreciate.
Bob Biesterfeld: A couple of years ago that we really stopped giving kind of the volume and revenue in the month, in the quarter and so I’ll just say directionally the market conditions in April look very similar to what we experienced on the tail end of March and the model is responding as we would expect it to.
Brian Ossenbeck: Thank you, Bob, for your time. Appreciate it. 
Bob Biesterfeld: Yeah. Thank you, Brian. 
Operator: Thank you. The next question is coming from Jeff Kauffman of Vertical Research. Please go ahead.
Jeff Kauffman: Thank you very much and congratulations. I wanted to check in on one of the newer initiatives, the trailer pools, I know, that’s pretty hot topic across the industry and I was just kind of curious, how that’s progressing, how large that’s gotten, where those metrics are showing up and what kind of difference they’re making for you.
Bob Biesterfeld: Yeah, so I’ll talk kind of at a high level about drop trailer. Drop trailer makes up just under 10% of our total truckload volume. So it is a meaningful and important part of our business. The volume associated with drop trailer last quarter increased by, I think, 23%. And so it’s definitely an area where customers are voting to move towards more of these power only and drop trailer programs because they are so much more efficient from a load and unload standpoint. Within the drop trailer business at Robinson we have a program that we stood up a few years ago called Power Plus, which is kind of our gray box leased trailer fleet and that fleet continues to grow albeit the size of the growth in that fleet was challenged last year, just with the availability of trailers. We will look to add another 100 trailers or so to that here on the front part of this year, we measure that the size of that gray box fleet or the Power Plus fleet in the hundreds of trailers, not the thousands of trailers, but that combined with the balance of our of our drop trailer business allows us to really provide some compelling solutions to our customers in an area that’s clearly high demand.
Jeff Kauffman: Okay, that’s a great answer. Thank you very much. That’s all I have. 
Bob Biesterfeld: Thanks, Jeff.
Operator: Thank you. The next question is coming from Bascome Majors of Susquehanna. Please go ahead.
Bascome Majors: Yeah, thanks for taking the questions here. Just want to briefly clarify a couple of questions from earlier. First on the China shut downs, you move as much China US ocean freight as anybody out there in your global boring business. I’m curious you have any data or any way to quantify the drop in outbound out of Shanghai or China as a whole in the last four or five weeks versus what was happening before the shutdown start, just anything directionally you could put to numbers on that, and then I have one more follow up. 
Bob Biesterfeld: Yep. Bascome, honestly, for us, we’ve not seen any decline in demand or shipments in our ocean business. And so I don’t have industry-wide data in terms of overall volumes in front of me. But for us, it still maintains a really, really strong demand environment and we’ve got the capacity to respond to it. 
Bascome Majors: And that is a comment going into April as these have continued, not just a [Multiple Speakers]. 
Bob Biesterfeld: Yep. 
Bascome Majors: Thank you for that. And the first question of the call you talked about, I think, 57% of your bids that you were doing were still 12 month and the other 43% are in the six to three month range. Is that mix reflective of the number of bids or dollars? I’m just trying to understand, is the balance of the dollars of truckload freight you’re moving much different than that kind of 60:40 mix? Thank you.
Bob Biesterfeld: Yep, good question. And again, that is a subset of kind of our global top accounts that we manage the pricing at a centralized level. I do think it’s fairly representative of -- so that’s going to be representative of the terms of the bids that are being taken to market. In terms of what were being awarded and kind of how that’s weighted, I believe that that’s going to be more heavily weighted to the 12 month bids and so while 57% of the actual procurement exercises were for awards of 12 months or more of our awarded volume, a higher percentage than 50% is tied to the 12 month awards. So hopefully that adds some clarity on that. 
Bascome Majors: It does, thank you. 
Bob Biesterfeld: Yep, you bet basketball.
Operator: Thank you. The next question is coming from David Zejula of Barclays. Please go ahead. 
David Zejula: Thanks again for taking the call and taking the questions. Maybe a split question for Bob and Arun. Could you comment on your customer retention that you’ve seen over maybe the last 12 months? And for Arun, maybe talk about any tools that you’ve developed that either have had an effect or you’re targeting specifically for customer retention? Thanks.
Bob Biesterfeld: Yep, so I’ll hit on the current customer retention. Across our top 500 customers, which makes up about 50% of our revenue, our customer retention was nearly 100% in 2021 and that carried into to the first quarter of 2022, as well. Our overall customer count in NAST increased on a year-on-year basis in the first quarter, which was obviously a positive signal. And we saw that across different size segments as well from one of the encouraging things, we saw a lot of small business come back in the first quarter of second -- the first quarter of 2022 and that was area of the largest increase in overall customer count, it was in small businesses. So I think that’s an encouraging sign for the economy. I don’t know, Arun, if you want to talk at all about some of the customer side.
Arun Rajan: Yeah our focus has been on the carrier side, as you heard earlier, in terms of like, carrier acquisition, retention, and share growth. On the customer side, we’ve got some things teed up specifically along the lines of, as you probably heard Bob and others talk about the IQ products, the Robinson Labs, Emissions IQ, and Procure IQ, and Market Rate IQ. Things that are working well with our customers, but we need to scale them. And so in coming quarters, you’ll see us scale those capabilities into our customer facing tools. But I’d say like at this point, those are driving -- probably driving retention, but not in a way that we can play it back measurably.
David Zejula: Thanks, appreciate it. 
Operator: Thank you. The next question is coming from Ravi Shanker of Morgan Stanley. Please go ahead.
Ravi Shanker: Thanks. Good afternoon, guys. Thank you for the detail on the AGP per shipment and the history there. I’m not 100% sure what the message here is, can you remind us again, why do you think AGP per shipment is a better profitability metric than gross margin? And also as a follow up to that, if I look at this chart, like over the last decade, like there’s been pretty tight correlation between the gross margin and the AGP per shipment until the cycle where both those lines have diverged. Why do you think that is the case going to be? Is there something going on mix where you’re getting a decent number of shipments but the cost per shipment is coming down of something?
Bob Biesterfeld: You know, Ravi, the reason that we’ve always believed that AGP per shipment is the most important metric is we can’t control much of what drives AGP margin percent. Think about fuel alone in the current environment and the impact of diesel. Diesel fuel surcharges are an absolute pass through for us in our truckload business, yet they have either negative or positive impacts on AGP percent on a year-over-year basis, depending on if they’re rising or falling. We use -- if you look at the low point to -- in kind of mid-2020 to where we’ve sit today and you see whatever, six, seven quarters in a row of increases of AGP per load, if I’m managing my teams in the field, I need them managing that AGP per load up 42%. I’d much rather have our AGP per load today than the AGP per load in the middle of 2020, yet the AGP margin is irrelevant in terms of in terms of the profitability of our business. 
Ravi Shanker: Okay. Again I am not sure why the margin is irrelevant, but can you help clarify kind of why those two lines have diverged in the last 18 months? I can’t -- I don’t think that’s fuel. 
Bob Biesterfeld: Yeah, the cost of purchase -- well the cost of purchase, transportation, and the sell rate has gone up at a rate that we’ve never seen in the past. And as you can see, our AGP per load is relatively range bound over the course of the last decade.
Ravi Shanker: Okay, got it. Maybe I can take this offline as well. Thank you for the time. 
Bob Biesterfeld: Thanks, Ravi.
Operator: Thank you. Unfortunately, we have run out of time for questions today. At this point, I would like to turn the floor back over to Mr. Ives for closing comments. 
Chuck Ives: Thank you, Donna. That concludes today’s earnings call. Thank you, everyone for joining us today and we look forward to talking to you again. Have a good evening.
Operator: Ladies and gentlemen, thank you for your participation and interest in C.H. Robinson. You may disconnect your lines or log off the webcast and enjoy the rest of your evening.